Operator: Greetings, and welcome to the Natural Health Trends Corp. Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, it is now my pleasure to introduce your host, Michelle Glidewell with Natural Health Trends Corp. Thank you. You may begin.
Michelle Glidewell: Thank you, and welcome to Natural Health Trends Corp. Fourth Quarter and Full Year 2024 Earnings Conference Call. During today's call, there may be statements made relating to the future results of the company that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results, performance, or achievements could differ materially from those anticipated in such forward-looking statements through the results of certain factors including those set forth in the company's filings with the Securities and Exchange Commission. It should also be noted that today's call will be webcast live and can be found on the Investors section of the company's corporate website at naturalhealthtrendscorp.com. Instructions for accessing the archived version of the conference call can be found in today's financial results press release which was issued at approximately 9:00 AM Eastern Time. At this time, I would like to turn the call over to Chris Sharng, President of Natural Health Trends Corp.
Chris Sharng: Thank you, Michelle, and thanks to everyone for joining us this morning to discuss our fourth quarter and full year 2024 financial results. With me today is Scott Davidson, our Senior Vice President and Chief Financial Officer. During the fourth quarter, our performance was steady with overall reported sales remaining essentially flat in comparison to the fourth quarter a year ago. Our primary market, Greater China, where sluggish consumer sentiment persists, achieved a 7% increase in net sales compared to the fourth quarter of 2023, and a 9% increase compared to the preceding third quarter of 2024. A sign that our programs, trainings, promotions, and incentives are resonating with the consumers and field leaders. Overall, our results for the fourth quarter and full year were adversely affected by decreases in Taiwan and North America, where we implemented strategic price adjustments in 2023 and began offering fewer product promotions throughout 2024. We believe these efforts position us for longer-term benefits of safeguarding margins and reinforcing market discipline. In November, we introduced two new products in Hong Kong: a raspberry lemonade flavored version of our Collagen Supreme, as well as a new topical hair serum called Root Revive, designed to improve hair strength and density. We followed up the launch with a six-city roadshow in China where our members and consumers learned about these two products while gaining valuable training and business insights. These two products were also rolled out in Taiwan and North America, with other markets preparing for their introductions later this year. In the first week of January, we held our annual Asia Forum in Bangkok with more than 430 attendees. This gathering was a springboard for our 2025 programs and initiatives and ensured that our leaders and the field have a clear roadmap for success and vision for the year ahead. In 2024, we officially opened the Colombia market for in-country order taking, and we are finalizing arrangements for an official office opening later this month to celebrate, recognize, and welcome this new community to the NHT Global family. We are excited these new members are drawn to our opportunity and high-quality products and that they share enthusiasm for our global mission of creating wellness traditions. In all of our markets, we continue to regularly hold products and business trainings, personal development sessions, and recognition events both in person and online. These initiatives are designed to empower, engage, and inform our members while also serving as excellent platforms to spark new recruitment and retail activities and support retention. In October, leaders and qualifiers from Peru, Mexico, and Japan came together for an unforgettable incentive trip to Paris, combining efforts across multiple markets to celebrate their achievements. In December, we hosted our North American qualifiers for our Cancun incentive trip where half of the qualifiers were first-time attendees to one of our travel incentives. These recognition activities are designed to drive goal setting and business growth, motivate, and help strengthen relationships among members, leaders, and staff to support retention and collaboration. I want to acknowledge the vital contributions of our leaders, members, preferred customers, employees, and stockholders. Your dedication plays a key role in strengthening NHT Global and advancing the reach of our outstanding products. Our business and product offerings provide an opportunity for individuals of all backgrounds, whether they are looking to supplement their income or take proactive steps toward improving their health and wellness. With our exceptional products, we are well-positioned to support these aspirations and help individuals achieve their goals in an ever-changing world. As we welcome the Year of the Snake, we extend our heartfelt wishes for health, prosperity, and success throughout 2025. Now I pass the call to our CFO, Scott Davidson, who will share a detailed overview of our financial results. Scott?
Scott Davidson: Thank you, Chris. Total fourth quarter revenue of $10.8 million was roughly unchanged from $10.9 million in the fourth quarter a year ago. Revenue in our primary market of Greater China during the quarter increased 7% compared to the fourth quarter last year. This improvement was tempered by the performance of other markets, particularly Taiwan and North America. Our active member base was 30,870 at December 31st, consistent with September 30th and a 5% decline since the end of December 2023. Turning to our cost and operating expenses, gross profit margin of 74.2% in the fourth quarter declined slightly from 74.5% in the fourth quarter last year, primarily due to higher freight costs. Commissions expense as a percent of net sales for the fourth quarter increased to 41.9% from 41.6% in the prior year quarter due to higher supplemental incentive costs incurred this year. Selling, general, and administrative expenses for the quarter were $3.9 million, a slight increase from $3.8 million a year ago due to the timing of certain professional services. As a result of additional costs incurred during the fourth quarter this year, operating loss for the quarter was $421,000 compared to $242,000 in the fourth quarter last year. However, due to interest income and an income tax benefit recognized in the fourth quarter of this year, net income for the fourth quarter was $176,000 or $0.02 per diluted share. In comparison, net income was $358,000 or $0.03 per diluted share in the fourth quarter of 2023. I will now turn to our cash flows and balance sheet. Net cash provided by operating activities was $88,000 during the fourth quarter. For the full year, net cash used in operating activities was $3.4 million compared to $4.3 million a year ago. Excluding our required annual tax installment payment related to the 2017 US Tax Cuts and Jobs Act, we generated $602,000 in cash flows from operations during 2024, which is a $1.8 million improvement over last year. Total cash, cash equivalents, and marketable securities were $43.9 million at December 31st, down from $46.3 million at September 30th due to our quarterly dividend payment. For the full year of 2024, we paid out $9.2 million in dividends. As returning capital to our stockholders remains a priority, we are pleased to announce that on February 3rd, our board of directors declared a quarterly cash dividend of $0.20 per share which will be payable on February 28th to stockholders of record as of February 18th. In closing, while consumer sentiment and macroeconomic conditions in Greater China remain challenging, we are confident that we are on the right track. After spending time with many of our key leaders and members in Bangkok, I can say with certainty that their commitment and optimism for the future are stronger than ever. We remain fully committed to innovating, growing, and enhancing our support to ensure their continued success and we are excited for the opportunities ahead. That completes our prepared remarks. I will now turn the call back over to the operator.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.